Operator: Hello and welcome to the Streamline Health Third Quarter 2022 Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to Jacob Goldberger. Please go ahead, sir.
Jacob Goldberger: Thank you for joining us for the corporate update and financial results review of Streamline Health Solutions for the third quarter 2022, which ended October 31, 2022. As the conference call operator indicated, my name is Jacob Goldberger. Joining me on the call today are Tee Green, Chief Executive Officer and Chairman of the Board; Ben Stilwill, President; and Tom Gibson, Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today’s call does not have a full text copy of our press release announcing these results, you can retrieve it from the company’s website at www.streamlinehealth.net or from numerous financial websites. Before we begin with prepared remarks, we want to be sure we are clear for everyone on the record how certain information, which maybe provided today, as with all of our earnings calls, should be viewed. We therefore submit for the record the following statements. Statements made on this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those we may discuss. Please refer to the company’s press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K annual report, which is on file with the SEC for more information about these risks, uncertainties and assumptions and other factors. As always, we are presenting management’s current analysis of these items as of today. Participants on this call should take into account these risks when evaluating the topics we will discuss. Please note Streamline Health is not undertaking any commitment or obligation to publicly revise any such forward-looking statements made today. On today’s call, we will discuss non-GAAP financial measures such as adjusted EBITDA, booked SaaS ACV, and unaudited figures related to our acquisition of Avelead. Management uses these measures to help provide better insight into our financial performance. However, certain items of income and expense are not included in these measures. So these calculations may differ from those which another entity may utilize in calculating their own non-GAAP measures. To help you compare these results on consistent terms, please refer to our website at www.streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. I would now like to turn the call over to Tee Green, Chief Executive Officer.
Tee Green: Thank you, Jacob and thank you all for joining us this morning. Following my opening remarks, Ben Stilwill, President will provide an operations and sales update, followed by a financial update from our CFO, Tom Gibson. As a reminder on August 16, 2021, we acquired Avelead and their financial performance will be included in our GAAP results from that date. With that, I will get started. Beginning with the financial overview as of October 31, 2022, bookings for the 9 months ended October 31, 2022 totaled $15.9 million, $14.1 million of which was attributable to our SaaS products. As a reminder, we estimated we would average $3 million to $5 million of TCV per quarter in fiscal 2022. Our continued booking success is a credit to the strong direct sales channel we built and the value our products provide our clients. Macro headwinds associated with our hospital clients, staffing and backlog of IT projects continue to hinder conversion of our new bookings to revenue. However, we successfully grew total revenue 13% to $6.2 million during the third quarter and our SaaS revenues were up 14% or $0.4 million. Last quarter, we began reporting a new metric, booked SaaS ACV, which is the annualized contract value for all agreements that are being recognized into revenue as well as bookings that have not been implemented. As of October 31, booked SaaS ACV was $14.9 million as compared to $10.3 million as of January 31, 2022. Subsequent to the end of the quarter, we successfully closed two large deals. And as of November 30, 2022, our total booked SaaS ACV was $15.9 million. We remain confident in our achievement of $17 million of booked SaaS ACV by the end of fiscal 2022. As of October 31, 2022, we had $11.7 million of cash on our balance sheet. As previously announced on October 25, we closed a registered direct offering that resulted in gross proceeds of approximately $8.3 million. Notably, more than 30% of the offering was raised from insiders, including each member of the company’s Board of Directors and key members of the company’s management team. We have begun to make the initial principal payments on our term loan. As of October 31, the balance of our term loan was $9.8 million. We believe our cash on hand is sufficient to achieve positive adjusted EBITDA less capitalized software development. Finally, on November 29, 2022, we expanded our relationship with Bridge Bank to allow access to an additional liquidity through a $2 million non-formula line of credit. Late in the quarter, we announced a strategic alignment of our business to enhance growth and profitability. By combining the Avelead and eValuator operations, we expect to accelerate our progress within our innovation and service functions while increasing the effectiveness of our sales force as the eValuator and Avelead software solutions share a common call point. In addition, with the operational benefits from the alignment, we expect to realize a total $3 million of annualized cost savings, $1.5 million of which was executed on November 1 and the balance of which we expect to execute through the course of the next fiscal year. The cost savings was attributable to the elimination of redundant management positions, voluntary reduction of executive salaries and certain other contractors. We remain confident in our growth prospects going forward. The macro environment for our hospital clients result in a higher demand for our products and services. Our team is dedicated to delivering improved net revenue to our hospital clients through automated pre-built solutions like RevID and eValuator, which enable them to capture and bill accurately for all the care they have provided. This has never been more critical to our industry than it is today and we believe our bookings will continue to accelerate as a result. In conjunction with the alignment, Jawad Shaikh was appointed Chief Strategy Officer and Ben Stil was promoted to President of our organization. Jawad has made a seamless transition to focus on thought leadership and strategy, while maintaining his successful relationships with our channel partners and large hospital systems. Prior to his promotion to President, Ben was CEO of the eValuator business. Ben developed a world class client success organization, which has become a primary differentiator for us in the market. I am thrilled to have him lead the operations of our combined organization going forward. Ben?
Ben Stilwill: Thank you, Tee. I am very excited to lead our team into this next chapter of the Streamline story. And I appreciate the opportunity to speak with you all this morning. Building on Tee’s comments on the macro environment, our individual client conversations lately have been focused on their increasing denials and the need for automation within the revenue cycle. Just last month, one of our clients expressed the need for automated solutions like RevID and eValuator to reduce revenue leakage so that they can afford to invest in their patient care priorities, including expanding outpatient services in their community. Within innovation, our primary focus remains on improvements to the back-end architecture of our Avelead suite. By making these investments today, we can ensure that the Avelead tools are ready for significant growth led by our deployment of these tools within large organizations. We will implement value-driving client features into Avelead tools similar to the dashboards and reporting tools of eValuator that our clients have come to expect. Additionally, we are making improvements to the Avelead architecture that will reduce the effort associated with our implementations and improve the user experience. We continue to make incremental improvements to the eValuator system as well, expanding our rule set and overall making the solution more effective over time. As Tee mentioned, the client-centric service organization we developed within eValuator has been a true differentiator for us, driving additional value for our clients and ensuring their success on our platform. We are maintaining our cadence of monthly education and quarterly executive client meetings to establish the value of the tools we are providing. In light of industry-wide administrative staffing shortages, we have also expanded our consultative services, whereby we staff our solutions for our clients. This is an extension of the new eValuator concierge we mentioned last quarter, an auditor who starts off directly integrated within the client’s team, allowing us to rapidly learn about and react to potential pain points as well as position us with the insights we need to speed adoption and maximize client resources. As we have discussed previously, administrative staff within hospitals remain underinvested and understaffed at this time, especially within their IT departments. This has delayed implementation timing for our solutions. As a result, our implementation teams are working hard to ensure that we are never the bottleneck. Within eValuator, we have been very successful and I am confident that as a result of our investment into the Avelead products, we will be able to say the same about RevID and compare it in the near-term. Our combined growth team, led by Chief Growth Officer, Amy Sebero, has accelerated through the realignment. And we were thrilled to report TCV SaaS bookings in excess of $14.1 million as of October 31 in line with our expected average of $3 million to $5 million of TCV SaaS bookings per quarter. We are maintaining the organization’s overall structure with four regions for direct sales and augmented by select channel partnerships. Under Amy’s leadership, we have expanded infrastructure beyond individual Regional Vice Presidents to include dedicated business development resources, a talented sales enablement team and a more intentional approach towards marketing. If you go to our website and LinkedIn page today, you will notice that we have a new look and feel, not only as it pertains to logos, but the presence of thought leadership via podcast and other content. As of today, our RVP positions are fully staffed. As Tee mentioned, we remain confident in our achievement of $17 million of booked SaaS ACV by the end of fiscal 2022 and expect to exit fiscal 2023 with $30 million of booked SaaS ACV. Before I turn the call over to Tom, I would like to thank all of our hardworking team members who are supporting our mission to ensure our healthcare providers are paid for all the care they provide. I am very excited to lead our talented team and believe strongly that our innovation plus service equals growth formula will yield tremendous results for all of us as we continue to execute and expand. With that, I will hand the call over to our CFO, Tom Gibson.
Tom Gibson: Thank you, Ben. Congratulations on your recent appointment, it is indeed well deserved. As Tee mentioned in his opening remarks, we acquired Avelead on August 16, 2021. All operations of Avelead are included in our reported GAAP numbers from that date. We also provide pro forma numbers that assume we owned Avelead from the beginning of the prior period. We solidified our balance sheet during the third quarter with an $8.3 million registered direct capital raise. More than 30% of the raise was funded by insiders. And we completed this offering without an underwriter. I want to thank all the investors that participated in this most recent round. Subsequent to the third quarter, the company expanded its bank relationship to include a new $2 million non-formula revolving credit facility. Between the capital raise and the extended bank relationship, we believe we have a clear path until the company generates cash from operations, a metric that we define as adjusted EBITDA less capitalized software development costs. Total GAAP revenues for the third quarter of fiscal 2022 were $6.2 million, a 13% increase over the comparable period of last year. For the 9 months ended October 31, 2022, total GAAP revenue increased 60% to $18.1 million. $5.8 million of the revenue growth was attributable to the acquisition of Avelead. During the third quarter of fiscal 2022, SaaS revenue grew $0.4 million or 14% compared to the third quarter of fiscal 2021. During the 9 months ended October 31, 2022, total SaaS revenues increased $3.8 million or 72% compared to the first 9 months of fiscal 2021. $3.6 million of the growth in SaaS revenue was attributable to the acquisition of Avelead. Total revenues for the third quarter of fiscal 2022 and year-to-date were $6.2 million and $18.1 million compared with pro forma revenues of $6.1 million and $16.6 million respectively for the year ago periods. We have been impacted by headwinds that face our hospital clients, hospitals are overcoming personnel shortages and significant IT backlog of projects, a hangover effect from COVID. These headwinds impact our contract implementation timeline also known as first recognized revenue. We do not know how long these delays will impact our clients and accordingly, our recognized revenue. We have $4.5 million of annualized contract value that is unimplemented as of November 30, 2022. As these contracts are implemented in the coming quarters, our investors will see double-digit growth on a sequential and year-over-year basis. We are expecting to see revenue growth in the fourth quarter of 2022, which will accelerate in fiscal 2023. Third quarter 2022 operating expenses totaled $9.4 million compared to $9.3 million for the prior year period. The company increased its spend and innovation during the quarter by approximately $400,000 and experienced higher severance, bonus and travel and entertainment expenses than that of the previous year. The third quarter of fiscal 2021 included $1.9 million of acquisition-related costs. For the 9 months ended October 31, 2022, total operating expenses were $27.1 million as compared to $20 million during the prior year period. $9.7 million of the expenses for fiscal 2022 were attributable to the acquisition of Avelead. We have higher cost in fiscal 2022 from higher headcount, severance, bonus and travel and entertainment as compared to fiscal 2021. Some of this higher cost will be normalized by the previously announced alignment. Net loss for the third quarter of fiscal 2022 was $3.1 million as compared to a net loss of $4.3 million during the third quarter of fiscal 2021. Net loss in the third quarter of fiscal 2021 included $0.6 million of interest expense and expenses related to the valuation adjustment on the acquisition liabilities associated with Avelead. Net loss for the 9 months of fiscal 2022 was $9.2 million as compared to a net loss of $6.9 million during the first 9 months of fiscal 2021. In fiscal 2021, we had the benefit of the PPP loan forgiveness in the amount of $2.3 million offsetting the loss from operations. Adjusted EBITDA for the third quarter of fiscal 2022 was a loss of $1.2 million compared to an adjusted EBITDA loss of $0.3 million in the third quarter of fiscal 2021. Adjusted EBITDA for the 9 months ended October 31, 2022 was a loss of $3.6 million compared to an adjusted EBITDA loss of $1.7 million for the 9 months ended October 31, 2021. The higher EBITDA loss can be explained by investments in the architecture of the Avelead technology, higher headcount salaries for our upgraded sales function, administrative costs such as performance bonus and travel and entertainment in fiscal 2022 as compared with fiscal 2021. Certain of these costs have been curtailed with the previously announced alignment. We have targeted bonuses for certain company staff for the successful combination of Avelead and eValuator business units and to achieve certain fiscal 2022 performance targets. Moving to the balance sheet, as of October 31, 2022, we had $11.7 million of cash on hand compared to $9.9 million at January 31, 2022. The company completed a registered direct offering during the quarter, which resulted in gross proceeds of approximately $8.3 million. The company completed the acquisition of Avelead using approximately $12.5 million of cash and $6.5 million of restricted stock at closing. Under the acquisition agreement, the company will provide additional consideration on each of the first two 12-month anniversaries of the closing date. These are paid to the sellers in cash and stock and are valued on the balance sheet at approximately $8.6 million. These liabilities are referred to as acquisition earn-out liabilities and are an estimated present value of the future amounts that will be paid in cash and restricted common stock. The first payment was made on November 22, 2022, subsequent to the end of the quarter and totaled approximately $5 million in total value. The first payment consisted of $2 million in cash and $3 million in restricted common stock. Subsequent to the closing of the Avelead acquisition, we entered into a 5-year $10 million term loan with Bridge Bank. There was no repayment of the term loan required in the first year following the close. $500,000 is required in the second year following the close, which equates to $41,667 monthly, which began this quarter in the balance of our term loan as of October 31, 2022, was $9.8 million. As Tee mentioned, we recently expanded our relationship with Bridge Bank to include a $2 million non-formula line of credit, which we can draw on if necessary. We believe that our cash on hand is sufficient to achieve a positive adjusted EBITDA less capitalized software development. But we are pleased to have access to this additional liquidity. As Tee mentioned, we have introduced a new metric that provides an annualized contract value for agreements that are being recognized into revenue as well as an annualized contract value for agreements that have not been implemented. We refer to this figure as our booked SaaS ACV, where ACV stands for annual contract value. We believe booked SaaS ACV will provide a proxy for our annual recognized revenue as if all executed contracts are live and recognizing revenue. Please note that the recognition of revenue from our signed contracts are subject to the timing of implementations. Implementations may sometimes be delayed by clients due to competing projects or be timed after a larger implementation of another system. Generally, we have recognized revenue from evaluated projects in 90 to 120 days from contract signing, while Avelead products due to the complexity of the implementation may be 100 to 150 days. Our booked SaaS ACV as of November 30, 2022, is $15.9 million and $4.5 million of that booked SaaS ACV has not been implemented. We remain focused on continuing growth of SaaS revenue. On its current cost structure, we believe our overall business will achieve breakeven at a booked SaaS ACV of $17 million. We are confident that we will reach this level of bookings in Q4 of 2022 and have this revenue fully implemented by Q3 or Q4 2023. The company is realizing incremental gross margins above 80%. Since I have joined the company in September 2018, we have not experienced our current level of growth nor the near-term visibility to cash generation. I am proud of the progress we’ve made to date and want to commend our staff on our recent success. That concludes my review. I’ll now turn the call back to Tee Green for his closing remarks. Tee?
Tee Green: Thank you, Tom. We continue to enable healthcare providers to proactively address revenue leakage and improve financial performance and have taken major steps forward to drive recurring revenue streams that better position our company for growth and to deliver significant shareholder value over the long-term. The alignment has enabled us near-term visibility to cash flow without losing momentum in growth or innovation.  Before we begin our Q&A session, I’d like to thank the entire Streamline team once again for all their hard work and dedication. Their contributions are essential for us to support our healthcare providing clients and ensure they have the necessary tools to free up time and resources to provide quality care for the communities they served. Thank you all for your support of Streamline Health and our vision. Now I’d like to open the call up to your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is coming from Brooks O’Neil from Lake Street Capital. Your line is now live.
Brooks O’Neil: Thank you very much. Good morning everyone. I appreciate all the commentary, but I have to confess, I am a little confused about a couple of items. So I just want to ask a couple of questions. The first one really relates to a comment, Tom, made here at the end of his prepared remarks. I think he said you could get to or you could achieve breakeven at $17 million of booked SaaS revenue. But I think he also said that $4.5 million of that booked SaaS revenue would not be implemented. And hence, I guess, my sense that perhaps you won’t be generating revenue related to that $4.5 million. So could you help me understand exactly what’s going on there? And how I should be thinking about that?
Tom Gibson: Absolutely, Brooks. How are you doing today?
Brooks O’Neil: Great. Thank you, Tom.
Tom Gibson: Good. Good. Thank you for your question. So today, we stand at $15.9 million of total booked SaaS ACV with $4.5 million of that unimplemented. Once we reach $17 million of recurring revenue, which that means yes, all will have to be implemented. We will be at breakeven for the business. And I think you also heard in my remarks, I think we will be fully implemented on that $17 million of booked SaaS ACV by Q2 or Q3 of 2023.
Brooks O’Neil: Okay. That’s great. That’s really helpful. And then so maybe a little bit broader question. When you guys evaluate the environment right now, would you say generating contracts is your biggest challenge? Or is getting these contracts implemented a bigger challenge today than the demand environment you see in the marketplace?
Tee Green: Yes, Brooks, Tee Green. Thanks for the question. And the environment is certainly changing from a year ago trying to get the attention of the finance department, CFOs, the backlog of contracts and just things they had to get off their plate coming out of COVID. And now you’re seeing the CFO’s office entertaining contracts ROI analysis, more and more questions about how they can use the technology to improve operations. And then you get contract red line back and forth, and we’ve actually got contracts signed. And then the IT departments backed up. So that is from the service side of our business, we are trying to evaluate how do we create whether you look at it as incentives or additional services that we can help our health systems get through their IT backlog. So that is something we’re seeing across the country. I don’t know what magnitude it is, but when you talk about $4.5 million of backlog, that backlog related to IT resources in the health system. So those will be things that will have to flush through the system like everything else has had to done they are way understaffed. So we’re certainly looking at other ideas and other partners that can help facilitate smoother quicker implementations. Obviously, every day, our clients don’t implement our technology is real dollars, they are losing. And the CFO’s office knows that, is getting the CEO’s office to prioritize that.
Brooks O’Neil: Sure. And let me just ask a little follow-on is my sense is historically, you guys have done a fantastic job implementing eValuator, but perhaps it takes a little longer and it’s a little more complicated to implement a RevID. Do I have that right? And do you think you can narrow the gap between those two over time?
Tee Green: Yes, you have it accurate, but there is reasons for that. And if you go back several years ago, we couldn’t implement eValuator very well. So we had to rebuild that innovation platform, and that enabled our service platform, led by Ben and his team to build the processes that we’re efficient and delivered the ROI and evaluated to our clients. And that’s why you’re seeing growth in that side if you’re seeing the service on the implementation side, so smooth and efficient. It starts with having a rock-solid innovation platform. So we knew coming in to Avelead, we had to do some architectural improvements on RevID to get it to the same enterprise eValuator is. And so we’re still in that process. So each sprint, each quarter, it gets better and better. But I would expect mid-2023, we should have the RevID platform in the same shape we have the valuated platform.
Brooks O’Neil: Great. That’s perfect. Let me ask two more, hopefully quick ones. One is, my sense is Cerner and Epic are two of the big electronic medical records vendors out there. Can you talk about where you stand with those two? And anybody else you consider significant would be interesting to hear a little bit about it as well? And then secondly, can you just talk a little bit about whether you feel today you have what we might describe as a complete solution combining your two flagship products? Are there obvious things that you think could be added to your platform that would make your solution more complete and more high-demand system for healthcare?
Tee Green: Sure. And you are correct Cerner and Epic are the grill is in the industry. That’s for sure. Fortunately, we have a really strong tight partnership with Cerner coming from the Avelead, RevID side. We’re working on getting the eValuator in the Cerner toolbox, which will be really exciting for us. Epic, that’s a different animal where they have the Epic integration App Orchard. there is a new term now for their integration platform. I don’t remember what it is. But – so yes, we’re continuing to work with – and we want to work with all the Epic customers. But does Epic actually endorse and resell products from third parties like us? No, but Cerner does. So that’s very positive on the Cerner side. The Epic path what we’ve learned over many, many years working in this world is you have to have Epic customers that use your platform and are seeing great results, which they are and will, and that enables you to get more Epic clients. And that’s the way that the Epic model works by referrals is you have to have solid Epic customers that enable you to talk to more Epic customers. And then the complete solution, your second question, the – we have components of the revenue cycle. It is a very, very large industry. Our focus, Brooks, is on pre-build. So we are not trying to [indiscernible] on the entire 360 revenue cycle. So it is a niche, it is a very valuable niche that we’re trying to penetrate. Now having said that, are we looking for future opportunities like Avelead? Absolutely, we can’t wait to continue to uncover that.
Brooks O’Neil: Alright. That’s very helpful. Thank you very much, Tee and Tom. I appreciate all the color.
Tee Green: Thank you.
Operator: Thank you. Next question today is coming from Matt Hewitt from Craig-Hallum. Your line is now live.
Matt Hewitt: Good morning and thank you for all the details, the quarter end – for taking the questions. Maybe first up, regarding the – I guess, there is two different pieces, obviously, that are impacting or creating a little bit of a headwind. One, you’ve got the hospital spending environment; and number two, you’ve got the implementation side. It sounds like the bigger headwind from those two right now is coming from the IT side. But could you provide a little bit of an update on hospital spending? It seems like the CFOs are on board. They want to get the product in or the products in plural. What do you think it’s going to take to kind of maybe just take that next step from a contract signing standpoint? Or have you kind of reached that point now where you’re signing the contracts as you get them presented, now it’s more a function of that IT side?
Tee Green: Yes, Matt, Tee here. Thanks for the question. The hospital spend has certainly changed or pivoted more to what we do. And what I mean by that at the macro level is hospitals coming out of COVID are woefully understaffed, especially in the administrative side of the business we consider the revenue cycle side. And so they have to look at technology that’s going to make them more efficient and use vastly fewer resources, meaning human capital because they are just not there. Billers, auditors, coders, they all – many just left, and they are not coming back. And so where CFOs may want to do some advanced clinical purchases. Right now, they have to shorten the revenue. In the way to short the revenue is they have to do things right in the beginning, so they don’t create work downstream on staff that they don’t have anymore, which here come to Streamline with pre built technology like eValuator and RevID. So we think we’re in the suites and I forgot the most important part is we deliver a tremendous return on investment immediately, almost within a few months of implementation, there is real value. So I think when you look at – even take our name out of it, if you just look at what the finance departments are looking at implementing, you have to – does it enable us to run our hospital with fewer people? Yes. Does it deliver a tremendous return on investment immediately? Yes. Is it quickly implementable if we have IT resources? That’s the second part of the question, right? Yes. So when you look at stream, we check all those boxes. And so I think that’s pretty encouraging for bookings. Now you get to your other side of the question, the CIO side of the business, they don’t have resources either, unfortunately. A lot of people left and went and did side consulting jobs and started working with the smaller IT companies. So we do have some work to do in the CIO world, meaning how do we – we know we provide tremendous value from a CFO’s perspective. How do we prove we provide tremendous value to the CIO? So what are some of the things that we could do? One, how quickly our platforms can be implemented? How secure they are? How interoperable they are with Cerner and Epic? How much we can do in their environment without their resources? So those are some of the things we’re working on.
Matt Hewitt: That’s really helpful. Thank you. Maybe a question for Tom, you are mentioning the $5.9 million ACV as of 11/30 and implied that basically it’s $4.5 million that’s not implemented yet. How many customers make up that $4.5 million? Is it just a couple that have several facilities or is it multiple? And I guess it just kind of might speak to how quickly you can kind of get those turned on once the resources are available?
Tom Gibson: Yes, there is two Avelead products, RevID and Compare customers, and then there is five eValuator customers. With the eValuator customers, no matter how many facilities they are, they usually only have one HL7 feed, maybe two, that we have to connect to in order to get them live. So if it’s a six facility hospital system or a two-facility hospital system, that is not – that doesn’t add a lot of complexity to the implementation. Does that help?
Matt Hewitt: Yes, very much so. Thank you. And then I guess the last one for me. As we look out to FY ‘23 and your commentary that you’ll be able to get that $4.5 million of current backlog, if you will, implemented, whether it’s Q2, Q3. I mean that implies that you’re exiting next year, somewhere in that $5 million per quarter in SaaS revenues. Is that kind of the way we should be thinking about things?
Tom Gibson: Yes. Matt, I’m sorry, I had to get off mute. Yes. That’s the way to think about that in kind of the middle of the year.
Matt Hewitt: Fantastic. Alright, thank you so much.
Tee Green: Thanks, Matt.
Operator: Thank you. We reached the end of our question-and-answer session. I’d like to turn the floor back over for any further or closing comments.
Jacob Goldberger: Thank you all again for your interest in support of Streamline Health. If you have any additional questions or need more information, please contact me at Jacob.goldberger@streamlinehealth.net. We look forward to speaking with you all again when we discuss our fourth quarter and fiscal year 2022 financial performance. Good day.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.